Operator: Thank you and welcome to Betterware’s Third Quarter Fiscal Year 2022 Earnings Conference Call. With me on the call today are Betterware’s Executive Chairman, Luis Campos; Chief Executive Officer, Andres Campos; and Corporate Chief Financial Officer, Alejandro Ulloa. Before we get started, I'd like to remind you that this call will include forward-looking statements, which are subject to various risks and uncertainties that could cause actual results to differ materially from expectations. Any such statement should be considered in conjunction with the cautionary statements and the Safe Harbor statement in the earnings release and risk factors discussed in a reports filed with the SEC. Betterware assumes no obligation to update any of these forward-looking statements or information. A reconciliation and other information regarding non-GAAP financial measures discussed on the call can be found in the earnings release issued yesterday, as well as the investor section of the company’s website. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I’d now like to turn the call over to the company’s Executive Chairman, Luis Campos. Please go ahead sir.
Luis Campos: Thank you, operator and good morning everyone. Thank you for joining our third quarter 2022 earnings call.  In terms of the agenda for today, I will begin my remarks by providing highlights on the performance of the whole Betterware JAFRA Group, as well as JAFRA's business strategies. Then Andres will discuss the progress made in Betterware's business strategies and the actions taken to recover our profitability. And finally, Alejandro will discuss our quarterly and year-to-date financial results and our expectations for the rest of the year. We are encouraged about third quarter results for both Betterware and JAFRA. As for Betterware, we are particularly proud of our team's ability to stabilize our sales force in Q3, as well as their completion of the organizational and expenditure restructuring in this quarter. Continuing with our strategic transformation plan, which will deliver an annual savings of around MXN300 million in 2023. Both achievements will be keen to resume accelerated growth and increased profitability starting in Q1 2023. As for JAFRA Mexico's results, we are very pleased with the strong results delivered this quarter, with revenue growth of 11% from Q3 2021, marking the first period since 2017 that revenue grew year-over-year. Our focus on adding new consultants to our base was successful and has been key to achieve this improving trend. In particular, September saw the addition of 51,000 new consultants, an outcome not seen since May 2021. We expect to build up on this growth as we release a renew product catalog and execute promotional campaigns, who will give our sales force additional tools from which to drive sales. The identification and execution of synergies and efficiencies is paying well push along with continuous focus on our strategic priorities have us poised to continue improving JAFRA Mexico's profitability and cash flow generation. To achieve continuous growth and profitability, we have established strategic imperatives in the commercial front focused on products, sales program, and digital capabilities, aim at growing our market share, growing our sales network, and improving consultants' and end consumers' experience The launching of new products within our skin and color portfolios, target promotions to increase average sales ticket. Brand renewal and repositioning will increase our share of market. An innovative incentive plan to accelerate incorporation of our consultants, geographic expansion, and penetrating new segments will drive our sales network growth. As we look to leverage the power of social media amongst our consultants to grow brand awareness, we are also developing digital tools such as our JAFRA App currently being deployed, a virtual store and artificial intelligence, which will give drive efficiencies and productivity jointly within improved experience for consultants and end consumers. Combined, we expect these initiatives will give us the ability to deliver high single to low double-digit growth in net revenues in 2023. Regarding JAFRA USA, which is still a small more contributor to the whole group and is performing below its underlying potential, our efforts remain focused in resolving issues that existed prior to the acquisition. Corrective actions are ongoing to regain control, profitability, and growing the sales force, with the aim of resuming net revenue growth and achieving improved profitability by Q3 of 2023. We reaffirmed that the JAFRA acquisition is accretive. As demonstrated already by it's better than expected results, which represent progress toward our goal of resuming revenue and earnings growth. JAFRA and Betterware's management teams will remain focused on their respective business and continue operating as independent companies, while supported by the corporate structure, which will be overseeing both companies Successfully mirroring Betterware's business model at JAFRA will be key to achieve outstanding results and solidify its position as a leading consumer products company. As we look ahead, to consolidate the group's expansion, we continue making progress for Betterware to begin operations in the USA in late 2023. Followed by further international expansion in Colombia and Peru between 2025 and 2026. JAFRA will enter Guatemala in 2023, and Colombia and Peru will follow in the coming years. This will pave the way to entry into other new geographies in the longer term, while we continue leveraging our business model to elevate JAFRA's distribution model. We have never been more confident in our future. We are uniquely positioned to establish Betterware JAFRA Group as a benchmark of constant growth, profitability, and cash flow generation, laying the foundation for long-term sustained shareholder value. I will now turn the call over to Andres to discuss Betterware's business strategies.
Andres Campos: Thank you, Luis and good morning to everyone. Having stabilized our salesforce and an average of 870,000 associates and 43,000 distributors from Mid-May to-date, in line with second quarter's favorable trend, and having completed our operational and expense restructuring, our focus is now on gradually resuming growth and profitability throughout 2023. So, this end, our powerful innovation pipeline will lead the way by increasing our product offering, serving an ever-expanding customer base, and maintaining customer engagement. The launch of our differentiated cleaning products line, and new product categories, such as baby and kids, and wellness, jointly with an increased range of products within the hydration, home improvement, and tabletop territories will be part of our focus for 2023. In addition to innovation, we are advancing in five key commercial initiatives which are already in place. First, are digital and physical catalogs are both undergoing a profound renovation. Regarding the digital catalog, developed under a mobile-first approach, it will have improvements that will allow our salesforce to easily pass it along and connect with new customers in the short-term, improve our knowledge of the end consumer and allow for an easy interaction within WhatsApp to achieve a higher sales conversion rate. On the other hand, we are leveraging our physical catalog to achieve maximum visual appeal, while making it easier for customers to understand offer in each category, using improved marketing techniques, as well as including promotions that create a sense of opportunities that will drive net revenue growth. Second, we have identified relevant opportunities to add value to our commercial business model to predictive churn models and incentive structures to be developed and released in the short-term with the purpose of growing our salesforce segments. Third, aligning with the return to normality and with the aim of attracting new associates, we have relaunched our person-to-person companion program to support our associates in developing their business. Also, the resumption of live sales meetings with will contribute to work are deeply person-to-person business model. Fourth, the launch of Betterware Experts, which is our masterclass type digital training platform, which is complimentary and additive to our traditional training programs. It is helping us achieve enhanced results among our associates and distributors, with over 50% of them already leveraging on the power of digital connectivity to build engagement. And finally, we continue to make progress in e-commerce as we review our strategy and business model to improve results. Accordingly, we are in the process of upgrading our e-commerce website, which will allow us to increase our penetration, attract new customers who are currently not sure by our traditional model, and improve our data analysis and consumer insight capabilities. We firmly believe in our model and we will continue betting on it in our group's net revenue and EBITDA growth strategy. Finally, we will continue evolving and enhancing our core model, which is part of our competitive advantages, and key to continued growth in the future. We will remain focused on increasing profitability, while executing internal actions to stabilize and improve our business trends. I will now turn the call to Alejandro, who will discuss our financial results for the quarter.
Alejandro Ulloa: Thank you, Andres. Good morning, everyone. From a financial standpoint, that summary of the quarters result would be as follows. In the case of Betterware, we laid lay the foundations for recovery of net revenue and profitability by stabilizing the sales network and streamlining expenses. In the case of JAFRA, we grew revenues and increased margins and are strongly poised to continue delivering consistent growth and profitability well into the future. Our focus is on generating value for our shareholders. And to that end, the short to medium term priorities going forward are; one, growth. In the case of Betterware, we assume sequential and year-over-year growth. As for JAFRA, realizing its full potential. Two, profitability, deliver increased profitability for both Betterware and JAFRA with a special focus on JAFA USA. Three, cash flow. Generate greater operating and non-operating cash flow to reduce the debt burden and return value to shareholders through dividends. Based on these priorities, in the case of Betterware, it is imperative to consolidate net revenue growth and profitability in the coming quarters. As far as the topline is concerned, the key actions behind it are embedded in the commercial strategy commented by Andres, all of which will drive the growth of salesforce and sales. The higher operating leverage resulting from increased sales supported by a streamlined expense structure, coupled with a good standing inventories after the promotional investment made in recent months, we'll return our EBITDA margin to historical levels of 20%. As for JAFRA, we should separate between Mexico and the U.S. In the case of Mexico, the results are tangible, just a few months after the acquisition, registering year-over-year and sequential growth already, demonstrating our ability to attract consultants, identify opportunities, and execute them in an agile and accurate manner, while preserving the essence of the business of the brand. In this way -- in this case of JAFRA Mexico, the topline profitability we continue to grow through our renewed product base, strengthened and bigger sales force and propelled by the commercial strategies already mentioned by Luis. In the case of JAFRA, USA, we do not expect to obtain results like those of you from Mexico in that immediate term. As we are rebuilding the fundamentals of the business to prepare for and achieve future and consistent growth, of which we are served. We've indeed the rebound in the Salesforce achieved in the quarter is certainly encouraging, but there is still a lot to be accomplished within our strategy. Today, the US business has a negative contribution for the entire group that wants to structure leisure service. So, we will achieve breakeven and then we will be able to accelerate the penetration of the American market and grow the business. In the long-term, we aim at continuing with the expansion of Betterware JAFRA Group through the scalability over a model and penetrating new markets in the continent in a gradual, and orderly manner. Finally, I would like to conclude my remarks by highlighting several relevant points of the entire group them. One portfolio complementarity between JAFRA and Betterware will translate into stronger financial performance. When JAFRA portfolio, the consumable beauty and personal care which involves frequent repurchases Betterware's portfolio is more durable and functionality than the independence of complementary products portfolios become valuable assets that contribute to the growth recycling, financial stability and improved performance in challenging market conditions as today's that is, the gap requisition translates into a built in operating hatch Two, the current level of leverage resulting from JAFRA acquisition will be resolved not only from continued financial discipline and enhance operating cash flow generation resulting from the recovery of net revenues and profitability, but also from the sale of unproductive assets, improvements in terms of credit, synergies and efficiencies, all of which add up a cash inflow of MXN700 to MXN900 million in 2023. Three, the board of directors has determined a dividend payment of MXN50 million for this term. The total dividends paid out during full year 2022 will sum up MXN950 million. The Board will be discussing the long term dividend policy that the group will follow as we move forward with the ongoing initiatives, led in the expansion of the group's scalability for model, penetrating new markets in the continent in a gradual and orderly manner. Over and above third quarter results, I would like to mention that my priority as corporate CFO of the whole Betterware's JAFRA Group will be on developing and executing financial strategy for the company to optimize the use of resources and maximize profitability after a period where we experienced massive growth. Alongside the acquisition of JAFRA, it is now time to focus on finding efficiencies all over the organization. Our high performance management team has already identified potential synergies that will balance and increase profitability. Now our main concern is to make things happen in this regard, together with strengthening the team and restating, planning and controls. Henceforth, we will be concentrating on five main elements that will reinforce our financial performance. One, people, we're working on hiring, retaining and developing the best time to have solid teams. The objective is to achieve high performance teams accountable for every function that they execute. In focus on continuous improvement across the company. Two, planning, either financial and strategic, we will work on data mining to better predict results and have medium and long term visibility of risks and opportunities ahead. Three, control, standardized policies, processes and procedures across the companies to enhance internal control without interfering business world. Four, business partner approach blowing with a nutrient I will be strategically supporting businesses identifying windows of opportunity and adding value to the organization by allocating optimal resources to every project or investment. Five, technology, all the previous will be supported with the best use of technology to optimize organization structures, job quality, types of response and controls, among others. The goal is to better be prepared to deal with externalities, and competitors in today's dynamic market. I will now turn the call over the operator, and we'll take any questions you may have.
Operator: Thank you very much. At this time, we will be conducting a question-and-answer session. [Operator Instructions] We have a first question from the line of Cristina Fernandez with Telsey Group. Please go ahead.
Cristina Fernandez: Good morning, everyone. And thank you for taking my questions. I have couple. The first one would be in on the Betterware business you outline a lot of initiatives to drive growth next year, with that being the goal. I wanted to ask how much do you need the macro to improve the economic environment to be able to drive growth next year? Is that also baked in your assumption to return to growth?
Andres Campos: Hi, Cristina. This is Andres. How are you? So I think that we have confidence that these strategies will bring us back to growth. As we mentioned in the – in the statement, we have seen a stabilization in the last four to five months of revenue because of some of these strategies that we have started laying out. And this means from our point of view, that we will be able to start growing back at beginning in early of next year. So in summary, we believe with the macroeconomics as they are today, we believe that we can get back to growth starting next year.
Cristina Fernandez: My second question is around the JAFRA US business. I know I took small part of what I was wondering how much investment is needed to improve it. And if the launch of better word in the US condition of that business, being breakeven are starting to grow again?
Luis Campos: Hello, Cristina, this is Luis. I don't think we will have to invest too much in order to turn around the JAFRA US business. This is only a question of recovering the business model the original business model, several changes were made during 2021. That didn't work well, because they were far away from our original JAFRA business model. Then, we are just going to go back to these – to these last one on our strong business model in JAFRA then we do not think this will require a large investment I mean, this will be almost normal, we will continue restructuring our expenses and put together an organizational structure that can work as it used to be in the in the US Regarding Betterware USA, I mean as in Mexico, this is going to be a totally independent business and we are working on – on the way we are going to approach the US market hopefully by the end of next year. And we are working on that. As of today, it seems to be viable our business in the US
Cristina Fernandez: Thank you. Another question I had was around the debt payments in 2023. Do you have an estimate of how much of the cash inflows you mentioned, MXN700 million to MXN900 million will be used towards debt repayments?
Alejandro Ulloa: Hello, Cristina, this is Alejandro. Good morning. As you can see in our balance sheet, our long-term debt totals MXN5,900 million. But what we're expecting is to have some proceeds, as you can read in the statement, that it will be an amount between MXN500 million and MXN700 million. So those proceeds are going to be directly reducing the debt. That's our main concern right now. And this will improve our debt equity structure. Additionally, we will use any excess cash flows from the operations to prepare even more long- term debt. We are allowed to do so. So the idea is that taking advantage that contracts with banks allow us with to prepaid debt without penalties, we're going to do that. By the end of 2023, we expect to have a lower outstanding debt long-term and we expect a reduction that will be around 10% to 15% less. So, the idea is to improve our balance sheet and to use proceeds to those reductions.
Cristina Fernandez: Thank you. And last question around inventory. Can you talk about how much of the inventory is kind of day-to-day recurring goods that can roll over to next season and how much it, I guess, items that you need to clear that you would like to accept from inventory sooner rather than later?
Alejandro Ulloa: Yes, Christina. The first thing I would mention with inventories that it is very important to see that better words inventory has come down from second Q of 2022 to third Q. It was MXN1,500 million around in -- at the end of the two -- second Q. And it's now at 1,300. So this means that our structural operational day-to-day inventory is performing well now, and we have to get rid of the excess inventory that still is there. Remember that the excess inventory was due to two things. One is that we purchased extra inventory because of the supply chain problems. And the second one is the lowering of demand. We expect that excess inventory to be out of our inventory by the end of the first quarter of 2023. But to reiterate, inventories have started coming down and we'll continue those to come down as we have stabilized our sales.
Cristina Fernandez: Thank you.
Operator: Thank you. We have next question from the line of Eric Beder with SCC Research. Please go ahead.
Eric Beder : Good morning. Thank you for taking my questions. Just a quick question on the Q3 income statement. Why was the tax rates so high? And what should we be thinking about that going forward?
Alejandro Ulloa : Okay. Hi, Eric. This is Alejandro. Good morning. The reason why taxes are so high is because we are -- we have an inflationary effect on our balance sheet that is larger than our assets. So, the Mexican IRS has a rule that if you are having more credit, those credits are seen as income. So considering the high inflation rate that we are experiencing right now, we have this inflationary effect on taxes, and we are making our provision of MXN150 million in the quarter. So, we are expecting to see if we have any adjustments in the fourth quarter. But the main idea here is that if things go on the same way, we are going to be experiencing this effect for the whole 2022, in the whole year. So, we are making some -- that's it.
Eric Beder : Okay.
Luis Campos: So, Eric, I will add, Eric, this is Luis. The only thing I would add to that, is that this MXN150 million so far income tax is in addition to the normal or regular income tax from our profits. And the other thing I want to mention is that this is because Betterware de México itself is taking 100% of the debt coming from the JAFRA acquisition.
Eric Beder : Okay. Could you -- that's an interesting segue inflation -- how -- obviously, it's still continuing in Mexico in most of the world. How are you fighting that in terms of your supply chain, and in terms of your ability to pass on price increases to customers?
Andres Campos: Hi, Eric. This is Andres. So during this year, we have a high impact in -- from the supply chain prices, especially containers and raw materials. But -- so we increased prices throughout the year approximately 15%. But the good thing is that container prices have been coming down in the last weeks, aggressively, both in the US and in Mexico, still not total trend, but it's still not a total confirmation of trend. But it's come down a lot. And at the same time, we have seen ability to negotiate better prices with our factories, and because also the raw materials that are starting to decrease. So we think even as this is just -- it's some weeks that this has started happening, we believe that it could be an extra opportunity to both increased margins, and be more competitive with prices to drive consumer demand.
Eric Beder : Okay. Final question in terms of JAFRA, I know you picked up the factory there the same time. When you look at that opportunity, what is kind of the opportunity to increase both capacity and potentially to make it more efficient in terms of spending? Thank you.
Luis Campos: Can you repeat the question, Eric, because I didn't get it very well?
Eric Beder : Oh, I'm sorry. -- job came with a factory.
Luis Campos: Yes.
Eric Beder : How do you look upon the opportunity to leverage that production plan in terms of, I guess, more production and in terms of better efficiency?
Luis Campos: Yes, I think we have a great opportunity. We have an available capacity in our manufacturing facilities in Queretaro. Then I will tell you that some of the products that of the cleaning products that Betterware is planning to launch next year, very disruptive and attractive cleaning product line will be manufacture in our Queretaro facilities. What will make us to utilize more of the capacity we have now. Then I think we will have nice opportunities in the factory. In fact, as we are mentioning in the report for now we have identified MXN140 million of efficiencies for next year 2023 in the manufacturing facility, that will obviously be important for our commercial side of the business in JAFRA because these will represent, let's say, lower increase costs in our products. Okay, then this is basically the way it's going to work.
Eric Beder: Right. Thank you and good luck for the holidays.
Luis Campos: Thank you very Eric.
Operator: Thank you. [Operator Instructions] We have a next question from the line of Andres Lomeli with LCA Capital. Please go ahead.
Andres Lomeli: Hello, thank you for taking my question. We too are excited for Betterware's profitability in 2023. My question is based on the pro forma statements; I was wondering if we could expect to see maybe a greater breakdown of both JAFRA and Betterware in the upcoming quarters?
Luis Campos: Definitely, yes. Quarter-after-quarter we will be reporting very clearly, what is being the performance of JAFRA Mexico, JAFRA U.S., and Betterware de México in every single number, okay, including income, profit and loss, including balance sheet and including cash flow. We have put together all the necessary systems on the platform in order to be able to do that. Then you will notice a huge improvement when we report our results for the fourth quarter.
Andres Lomeli: Excellent. Thank you very much. And as an analyst point of view, I really -- we really appreciate that.
Luis Campos: Okay. Thank you.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. And I'd like to turn the call back over to Luis Campos, Executive Chairman for closing remarks. Over to you, sir.
Luis Campos: Sure, thank you. Well, first of all, I will like to confirm that we will keep focused on delivering value to our shareholders, including our dividends of MXN950 million this year. We will continue with our dividend policy. The only thing is that beginning of next year -- in our first Board meeting next year, we will define our criteria, our dividend policy for the quarters to come. But this practice will continue for the future. Thank you again for joining our call today. We would like to wish everyone a happy and healthy holiday season. I look forward to speaking with you when we report our fourth quarter results. Have a good day.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.